Operator: Greetings and welcome to the Starwood Property Trust Second Quarter 2021 Earnings Call.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Zach Tanenbaum, Director of Investor Relations for Starwood Property Trust. Thank you. You may begin.
Zach Tanenbaum: Thank you, operator. Good morning and welcome to Starwood Property Trust earnings call. This morning, the company released its financial results for the quarter ended June 30, 2021, filed its Form 10-Q with the Securities and Exchange Commission and posted its earnings supplement to its website. These documents are available in the Investor Relations section of the company’s website at www.starwoodpropertytrust.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management’s current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company’s filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that maybe made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed in this conference call. Our presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov. Joining me on the call today are Barry Sternlicht, the company’s Chairman and Chief Executive Officer; Jeff DiModica, the company’s President; Rina Paniry, the company’s Chief Financial Officer; and Andrew Sossen, the company’s Chief Operating Officer. With that, I am now going to turn the call over to Rina.
Rina Paniry: Thank you, Zach and good morning everyone. This quarter once again demonstrated the strength of our diversified platform with distributable earnings, or DE, of $153 million or $0.51 per share. We were active on both the left and right hand sides of our balance sheet, deploying $3.1 billion of capital and completing securitizations within our commercial, residential and infrastructure lending businesses. I will start this morning with commercial and residential lending, which contributed DE of $127 million to the quarter. In Commercial Lending, we originated $1.7 billion across 12 loans, $1.4 billion of which was funded. We also funded $149 million of preexisting loan commitments. Prepayments were $1.1 billion with A-Notes and mezz loan sales totaling $231 million. This brought our Commercial Lending portfolio to a record $11.5 billion at quarter end. Despite $3.6 billion of loan repayments and sales post-COVID, our portfolio has grown nearly 25% over the past year. Also, in the quarter, we completed our second CRE CLO, which totaled $1.3 billion. The CLO is actively managed with a weighted average coupon of LIBOR plus 150 and an advance rate of 85%, allowing us to move a significant amount of our existing repo financing to a term matched, non-recourse, non-mark-to-market structure. We continue to see strong credit performance in our loan portfolio with a weighted average LTV of 61%. Over 80% of the repayments this quarter were in office and hotel and our retail exposure remains low at 3%, with nearly all of this exposure in a single loan, which has a significant entertainment component. We continue to have 100% interest collection and less than 2% of our loans on non-accrual. On the CECL front, our general reserve declined by $12 million in the quarter to $48 million due to improved macroeconomic forecast. To conclude my comments on Commercial Lending, we have discussed with you previously certain loans related to a residential project in New York City. The foreclosure of the condo units representing our collateral in those loans was formally completed this quarter. You will now find the entirety of the project reflected as property on our balance sheet. In connection with the foreclosure, we incurred transfer taxes, which reduced distributable EPS in the quarter by $0.02. Our residential lending business was also active. In our loan portfolio, acquisitions totaled $663 million and we completed our 11th and 12th securitization, totaling $564 million. Of the loans we acquired this quarter, $172 million resulted from unwinding one of our 2019 securitizations. This will allow us to significantly reduce the financing cost of these loans upon resecuritization. Our loan portfolio ended the quarter with a balance of $637 million, a weighted average coupon of 5.2%, average LTV of 68%, and average FICO of 739. Our retained RMBS portfolio ended the quarter at $232 million. After retaining bonds in our Q2 securitizations, selling previously retained bonds and accounting for the impact of elevated prepayments. Next, I will discuss our property segment, which contributed $20 million of distributable earnings to the quarter. The credit performance of this portfolio remains very strong, with rent collections at 98%, weighted average occupancy steady at 97%, and blended cash on cash yields increasing to 18.5% this quarter. Next, I will turn to investing and servicing, which reported DE of $48 million. Our conduit was very active, with $542 million of loans securitized or priced in three transactions, two of which settled subsequent to quarter end. Consistent with past practice, the two transactions, which priced in June, but settled in July, are treated as realized for DE purposes. Our next securitization is not expected to price until September, so we expect a lower contribution from this business in Q3. In special servicing, fees increased by 31% this quarter to $16 million due primarily to COVID-related modification and liquidation fees. While the timing of such fees cannot be predicted with certainty, we expect to see at least some portion of COVID-related fees in earnings going forward. We also continue to focus on obtaining new servicing assignments. Subsequent to quarter end, we were named special servicer on 12 CMBS trust with a balance of $12.2 billion, bringing our pro forma named servicing portfolio to $91.3 billion and our pro forma active servicing portfolio to $8.7 billion. And finally, on the segment’s property portfolio, during the quarter, we sold an asset with a cost basis of $25 million for $30 million, resulting in a net DE gain of $5 million and a GAAP gain of $10 million. At quarter end, the undepreciated balance of this portfolio was $250 million across 14 investments. Concluding my business segment discussion today is infrastructure lending, which contributed DE of $8 million to the quarter. We acquired $168 million of new loans and funded $23 million under preexisting loan commitments. Repayments were $85 million, which increased the portfolio to $1.8 billion. On the right hand side of the balance sheet, we completed our inaugural $500 million infrastructure CLO, which provides a significant expansion of our credit capacity, along with a term-matched, non-recourse, non-mark-to-market structure. The CLO is actively managed with a weighted average coupon of LIBOR plus 181 basis points and an 82% advance rate. I will conclude this morning with a few comments about our liquidity and capitalization. In addition to the securitizations we completed in Q2, subsequent to quarter end, we securitized a $230 million extended stay hotel loan in our Commercial Lending portfolio at a 91% advance rate. This allowed us to generate excess liquidity, while lowering our exposure to recourse debt. Also, subsequent to quarter end, we issued a $400 million unsecured sustainability bond with a 5-year term and a fixed coupon of 3 5/8s. The proceeds will be used to retire a portion of our December $700 million, 5% unsecured notes when they open for prepayment at par in September. In addition to financing capacity available to us via the securitization market, we continue to have ample credit capacity across our businesses, ending the quarter with $8.3 billion of availability under our existing financing lines, unencumbered assets of $2.8 billion, and an adjusted debt-to-undepreciated equity ratio of 2.2x. This credit capacity, in addition to our current liquidity of $1.3 billion, provides us with ample dry powder to repay our December unsecured note maturity and execute on our pipeline. With that, I will turn the call over to Jeff for his comments.
Jeff DiModica: Thanks, Rina. My comments this quarter will be relatively brief, highlighting another strong quarter of activity on both sides of our balance sheet. I will start by discussing our capital markets activity during the quarter. As Rina said, we issued $400 million of unsecured sustainability bonds at a 3 5/8s coupon in July, which was the tightest priced 5-year unsecured bond offering on record for a mortgage REIT. Our offering was over 4x oversubscribed with $2.2 billion in orders. Today, our outstanding unsecured bonds trade in the secondary market that yields between 2.75% and 3.25%, which gives us the option to issue very accretive capital to grow the business or payoff the remainder of our 5% coupon bonds that mature in Q4. For the first time, we chose to engage Fitch to rate this transaction and received a BB+ corporate and bond rating from them. In rating us BB+, Fitch cited the diversity of Starwood’s business model, strong asset quality, consistent operating performance, relatively low leverage, appropriate interest coverage, a diverse and well-laddered funding profile and solid liquidity. Given where our bonds trade, we believe the bond market concurs with this view. During the quarter, we also closed CLO on our second CRE CLO, a $1.3 billion transaction and our $500 million inaugural energy infrastructure CLO, and subsequent to quarter end, completed a $230 million SASB securitization on a well-performing limited service hotel portfolio in our CRE loan book. Along with selling A-Notes senior mortgages, these securitizations importantly reduced our percentage of secured debt subject to credit marks and recourse, which has continued to be well below 50% of our CRE financing and contributed significantly to our best-in-class liquidity in the depths of COVID. These transactions also significantly increased our returns on the equity in these transactions. Our CRE lending business continues to take advantage of the momentum we built over the last 17 months, investing in every segment, in every quarter since COVID began. Rina mentioned, we originated $1.7 billion of CRE loans in our Commercial Lending segment in Q2 and we are on pace to have a record origination here in 2021 and expect to do so by the fall. Commercial and residential real estate fundamentals continue to improve, asset prices continue to increase, and we believe our credit-first culture has led to credit outperformance in excess of the markets rebound. As we said on our Q1 earnings call, our base case modeling today suggests we will have little to no losses on our loan book as a result of COVID, a statement none of our peers have made to-date. We use our best-in-class financing to more than double our multifamily loan exposure over the past year. In that time, our office loan exposure as a percentage of our loan book is down 24%, our hotel exposure is down 11%, and our exposure to construction loans is down 61%. As our book has become less transitional, we have also cut our future funding exposure in half over the last 18 months. We have used the scale and footprint of Starwood Capital to consciously increase our international exposure by 42% since the start of COVID and that book is now a record 27% of our lending portfolio. We expect to continue to increase our exposure to highly accretive international loan opportunities in the coming year. We are finding higher returns internationally versus the U.S., where lending markets rebounded more quickly after COVID and where we often face more competition on loans. Our own property portfolio has benefited from lower cap rates and the significant liquidity in the real estate capital markets today. The unrealized gain on our property portfolio rose again this quarter to over $1.3 billion or approximately $4.50 per share. Florida multifamily has been one of the biggest beneficiaries of our country’s southern migration, lower taxes and growth. As a result of another cash-out refinancing, we will execute imminently. We will have a negative basis in our Florida multifamily portfolio, which is conservatively worth well in excess of $2 billion today and accounts for over 80% of our property segment gains. I will remind you that rents cannot go down in this 99% leased portfolio and will continue to rise with median income in their specific MSAs, which are centered around Orlando and Tampa, two of the fastest growing MSAs in the country. These gains put us in the enviable position of being able to choose whether to harvest them to reinvest and grow earnings or retain them at a very accretive yield and ensure our unparalleled dividend coverage. I will finish by saying management and our Board are proud of the way we setup our company to outperform in volatile markets and we will use our credit-first lens to continue to work diligently to find opportunities to continue to diversify our business. We have been in business for over 12 years and invested over $70 billion with only 1 basis point of realized CRE loan losses to-date, which has helped lead to an industry-best 13% plus annual return to shareholders since inception. With that, I will turn the call to Barry.
Barry Sternlicht: Good morning, everyone. This is Barry Sternlicht. It’s fun to follow Jeff and Rina when the firm’s nearly 350 professionals are all rowing in the same direction and that’s in addition to a team more than twice that size of the parent, Starwood Capital. The overall real estate markets remain extremely healthy. Abundant liquidity is powering the values in everything, stocks, bonds, VC, private and public debt. The real estate is, after all, a proxy for yields and people worldwide are in search of yields. Rates are cooperating and spreads have continued to come in. Real estate AAAs still remain at spreads wide of corporate AAAs and capital is flowing to arbitrage these returns away. Capital is also flowing to the best and most safe asset classes like multifamily and industrials, causing pricing to become extremely stretched. Pricing remains not so attractive for hotels, because the markets are assuming they will recover to full 2019 levels. While that maybe true in some cities and some assets and other assets that could exceed 2019 levels, it’s certainly not true overall for some period of time. The market seems to be a little ahead of itself in the hotel space. And then as the office markets where vacancy rates in cities like New York and San Francisco are approaching 20%, including pressure on costs, including real estate taxes, and it’s very hard to underwrite these cities at the time, I am pleased to say we have very little, almost no exposure to either city and that has made us smile through the pandemic. It is tricky to underwrite real estate right now with cap rates moving down so fast in some of these asset classes, but we remain happy 12 years into our creation that our loan-to-value and our portfolio is still 60%. The rental markets in single-family and apartments are the best they have been in years. People are seriously wealthy. Look at retail spending, leisure travel, home prices and everywhere you see people are spending money on most everything. And now, you have Washington putting kerosene on open fire, pending two large spending spree bills that will continue to power this economy forward, but in a very unbalanced and in my opinion, unhealthy way. There are 9.5 million job openings in the United States and the government really should figure out to help people get these jobs and take these jobs rather than paying them to sit on the sidelines, buy videogames, iPhones, Netflix subscriptions and all their goods that are made in China. Turning to us, we have worked hard for many years on something people give us little credit for. One of the key issues with mortgage REITs historically has been mismatched term, that is loans that may refinance or be prepaid after or before the underlying debt that finances those securities. Our moves to CLO and the securitization financing have changed this and built a fortressed balance sheet for Starwood Property Trust. We’ve always done this in our conduit, but it’s now part of our regular business in our large loan book, in our resi lending book, and for the first time ever in our infrastructure lending business, which was critical for our willingness to grow that book. Another item you may have noticed in our financials is that almost 30% of our book is now international. And we’re leaning hard on our Starwood Capital’s operations internationally with more than 60 people in London. We recently hired a new head of lending in Australia, and we continue to focus on these opportunities because they are, frankly, better spreads, less competition, more relationship-based. And we are one of the few doing this in the mortgage business in the United States. So it is another major differentiator of our firm. And together, with our European group, we are looking at some very large opportunities that really only come to us because of our scale, and any one of them would accelerate our growth and continue to increase our balance sheet. So we are quite excited about those opportunities that are unique to us because of our scale. One other item, sometimes issues become opportunities. As many of you will recall, we were the first mortgage lender alongside some of the nation’s largest money center banks in the American Dream Mall. It is dominated by entertainment and amusement rides, and the mall itself has now reached 82% occupancy. And I’m certain that our investment is sound as it represents roughly one-third of the construction costs. Make no mistake, the competition today is fierce. We are grateful at our company’s scale, our funding costs and our global reach, continue to provide great opportunities for our company. We are on the offense in every market, and our last Board meeting considered more than a dozen additional verticals that could add to our platform. We will be working to size and focus on these opportunities and see where we can accelerate our growth, improve our ROE, and continue to deliver on our goal at our IPO just 12 years ago, which is to provide safe, consistent, reliable dividends with best-in-class transparency, so our shareholders can see what we own and how it is performing and ask us any questions they may have. Thank you today for your time and to our team, which is world class.
Jeff DiModica: Thanks, Barry. And with that, we will open it up to questions.
Operator: Thank you.  Our first question comes from the line of Rick Shane with JPMorgan. Please proceed with your question.
Rick Shane: Hey guys. Thanks for taking my question this morning. Just a quick question, when I look at Slide 27, which shows your financial capacity, it’s a very helpful walk. The big change quarter-over-quarter is almost $600 million increase in approved and undrawn credit capacity. I just would like to understand what drives that change. Was there something contractual or does that have to do with repayments that have not been drawn again?
Rina Paniry: So Rick, it’s Rina. I’ll take that. The big driver of that increase is going to be the $400 million unsecured sustainability bond. So when we get cash in like that, we will take that cash and pay down our lines which drives up approved but undrawn capacity. So you’re paying down repo with unsecured until you get to September when we will pay down our December maturity earlier – a portion of our December maturity early, and then you’ll have to draw back up your repo line so that number will come down. So it’s a timing issue caused by the unsecured issuance.
Jeff DiModica: And I will provide comment on it to help you sort of understand the value and power of the ability to accordion those lines. We have repo lines that are anywhere from LIBOR plus 125 on the bulk of our newer assets in our multi-families lately, all the way out to maybe LIBOR plus 275, even 300 on some older, more transitional loans. So when we get $1 of cash and the first dollar pays down a LIBOR plus 300 loan and the next dollar might pay down to LIBOR plus 275 and then maybe even a LIBOR plus 250. So on our cash, we earn mid to high 2% on cash, and most corporates don’t have the ability to do that. It’s pretty good in a world where we’re raising debt at LIBOR plus 250 to 270 in the bond market to know that we could raise debt and sit on it and really not have any negative drag because we get such a high return on our cash by what effectively you see as increasing our approved but undrawn.
Rick Shane: Got it. Okay. Very helpful guys. Thank you very much.
Operator: Thank you. Our next question comes from the line of Tim Hayes with BTIG. Please proceed with your question.
Tim Hayes: Hey, good morning guys. Thanks for taking my questions. And just, I guess, sticking on the theme of kind of liquidity here. I mean, you have a very strong liquidity position despite the very strong growth you’ve had over the past year. And I’m just curious, as you look back to kind of pre-pandemic levels, how does your liquidity compare today? Do you find that there is a bit of a drag on earnings from having such an outsized liquidity position? And I’m just curious also as kind of like Part B to that is what portfolio size can your current capital base support?
Jeff DiModica: Yes, it’s a great question. There is a few pieces to that. I would say that we have a December maturity coming up. We raised $400 million of that $700 million. We probably thought that we would pay off the remaining $300 million with cash on our balance sheet. We’ve had a decent amount of repayments coming back as the market has come back. Performing assets have has certainly paid off a little more quickly in 2021, which has created cash. So I think we’re sitting marginally higher in cash than where we would be optimally. Last year, we probably sat on an average of $400 million plus/minus of cash more than normal, worried about a second dip in the market. We’ve probably cut that in half. But I think we’re still being conservative. COVID is not over. We want to make sure we have access to tremendous liquidity, which we do. We have $2.8 billion of unencumbered assets. As I said before, we can raise capital in the high-yield market very well, and the equity market is certainly cooperating. So we have – and we have $3 billion property book that obviously we’ve talked a lot about. So we have a lot of ways to still raise cash, but we still think it’s prudent to hold a little bit higher cash balances in this uncertain recovery than we did pre-pandemic. So we’re getting a little bit of drag, maybe it’s $0.02 or so, but it’s not the $0.04 or $0.05 that it was a year ago.
Tim Hayes: No, that’s helpful, Jeff. And just Part B of that was just kind of obviously, I’m sure your liquidity position can support some nice growth here. But what portfolio size can your current capital base support?
Jeff DiModica: It depends on leverage, right? If we wanted to run our business as highly levered as some of our peers, we could have a much bigger portfolio. We’ve never chosen that path to date. Obviously, with the equity market where it is, grow the equity base and grow a bigger portfolio as well. The wonderful thing for us is having seven investment cylinders and looking at a number more. We have the ability to really continue to grow, I guess, infinitely. I would say if we were a one-trick pony and all we did was wake up every day and make loans, and it’s the only thing that we could do, I’d start to be uncomfortable if that loan book got over $20 billion or so because these loans average 2.5 years, and at $20 billion, you would need to write $8 billion a year just to stay invested. And coming out of the GFC, we went from $500 billion of loans a year before the GFC to $75 billion and $100 billion and $150 billion. In 2020, we were well below that $500 billion. And if you need to write $8 billion of transitional loans just to stay invested and it’s the only thing that you do, and you have another year like 2020, it’s going to be difficult to put that money out unless you’re willing to be a higher percentage of the market’s loans. And that means by definition that you’re reaching for credit that you wouldn’t have done in a more normal market. So I think the size of a CRE lending business alone is $20 billion to $25 billion is the most that I would think you would want to be. But again, we have the ability – and it’s one of the reasons why our cylinders have – we’ve continued to add and we continue to look. We have the ability to be a lot bigger than that.
Barry Sternlicht: The only – can you hear me?
Tim Hayes: Yes.
Barry Sternlicht: The only thing I would say is that we’d like to be bigger. So it will, at some point, we’d be healthy to raise capital, but we don’t need it any time soon, sadly.
Jeff DiModica: We’d love to have an opportunity to do something, whether it’s an acquisition or one of these new businesses I talked about. But some of them are actually more focused on generating ROE and won’t deploy tons of capital, but work off to our knowledge base and the information . So we have some things that we are working on and we will see if we can execute them and the goal is to balance those high ROE businesses against the lower ROE businesses, our large lending opening and even . So it’s been – it’s interesting how the whole business  benefit when we tried something differently when rates fall. So it’s been a – it’s been a pretty balanced growth story for us, at least earnings story, I would say.
Tim Hayes: No, absolutely. And that’s good to know. I mean, on the capital side. I’m just going to shift gears, I guess, Jeff, because you mentioned and highlighted all the gains again in the property book and how that could be a source of liquidity for you and act as a mini capital raise as you harvest gains there. But it’s been a goal of yours for quite a while to harvest those gains, and you continue to see those assets appreciate, but still like kind of nothing to write home about there in terms of crystallizing those gains. So just curious if you feel you’re getting closer to coming to terms of some kind of agreement there and then selling a stake in any of these portfolios? Or just anything to report along that initiative?
Jeff DiModica: Yes. So I think it’s a lot more powerful than a mini capital raise. A mini capital raise comes with the cost of the equity dividend. In this case, we’re just freeing up cash that we could reinvest. So it’s much more powerful and accretive to earnings, any dollars that we take out of gains in property because they are just sitting as a gain, and there is no direct cost to us as there is on the equity side. So it is more powerful. We’ve been working for a good chunk of this year to get right timing, and timing means a lot. There were some tax changes that were happening in Florida. We wanted to let them settle in, and they came out favorably for us. And with those having come in, I think that, that’s something we will continue to work on as much as they prove to the market that our gains are what we say they are as it is to get that excess capital that as you’ve mentioned previously, we don’t really need today, but we think we have plenty of places to be able to deploy accretively. So we will continue to work through the year on it. These things take a little time, and we really slowed down a bit just to make sure that we waited out the tax changes that happened in Florida over the last month.
Tim Hayes: Got it. Okay, got it. Well, thanks for the color this morning. I appreciate it.
Jeff DiModica: Thank you.
Operator: Thank you. Our next question comes from the line of Don Fandetti with Wells Fargo. Please proceed with your question.
Don Fandetti: I was curious in your hotel portfolio what you’re hearing from owners in terms of the Delta variant. Any travel behavior changes, bookings, cancellations, just checking in on that?
Jeff DiModica: I’ll let Barry start there. Nobody is closer to this than Barry. Barry, you want to start and then I’ll give some numbers?
Barry Sternlicht: Yes. I don’t think our hotel portfolio, at the moment, represents any exposure to the company. Jeff will tell you that we haven’t had any losses in our hotel book. The market valuation of these assets has been astonishing. I mentioned in my comments that you’re seeing hotels trade at 4 caps and 5 caps. And I just don’t think the big urban boxes are going to get back to 2019 levels for quite some time. And at the same time, while your revenues are not there, your property taxes are rising, your costs are going up, labor costs are going up, if you can find labor. So we’re being very cautious on how we underwrite the sector right now. And more importantly, like what’s the valuation because people are asking, big, big prices for hotels. And I don’t think we can lend again some of these prices people are paying. So we have to be super careful. I just think there is so much capital inflating values everywhere, at least in the multi-industry you have rising rents, which are real and actually rising at ever faster pace. And of course, rents are much more determined in value and more important than in small moves in interest rates. So the explosion of rents in single family and in multi and in industrial, you can’t really see that in hotels, although this isn’t really a rate issue today. It’s really an issue of occupancy and staff. I mean, even if you have demand, you can’t run some of your hotels full because you can’t get people to work in the hotel. And that’s across the whole country. I’ve talked to every CEO in the hotel industry, and we’re seeing it ourselves in our 1,000 or so hotels we own in the equity side. So it’s quite an interesting situation. But I don’t think the firm, and Jeff will give you the numbers, I don’t think property trust has really any material exposure that I’m aware of, really in the hotel sector right now. Jeff?
Jeff DiModica: Yes, Barry, I’ll throw some numbers at it. We’ve talked a lot about the – and you mentioned, we haven’t had any losses. Our extended stay portfolio is about quarter of the 8% of assets that are in hotel. 8% of our company’s assets are in loans on hotels. About quarter of that is an extended stay, which has performed tremendously well from the get-go right out of the gates in COVID that stayed highly occupied, and ADR is never moved down very much. Limited service has come back very strong. That’s another quarter or so. Destination is about quarter. Our three largest loans in the hotel business are destination, and that’s what we’re seeing come back the fastest post COVID and trading very well. And as Barry said, the urban sort of travel boxes is something that we’ve historically avoided. We have one loan in all of Manhattan and as a senior mortgage where we moved out of the mezz last year. So we’re very comfortable with that. We’re also very comfortable that of the $800 million that our world-class sponsors have committed to their projects since the beginning of COVID, $620 million of that is on the hotel side. So when we lend in hotels, we tend to lend a very well-capitalized sponsors. It’s a central tenant for us, and it’s something that Barry insists on. And we’ve seen them prove their liquidity and their desire to hold on to these assets with that massive equity injection. So I can’t – as I look down our list of hotels, there is nothing in our hotel list that I’m worried about from a payoff perspective with what we know today. So we’re super comfortable with it. But as Barry said, we’re being cautious going forward.
Don Fandetti: Yes. I mean, certainly, you guys are in great shape. I was just more curious if you’re sort of hearing any changes in trends at the property level and maybe some destination areas, if there is any impact on the ground from an occupancy standpoint?
Barry Sternlicht: You mean from the COVID variance emergency?
Don Fandetti: Yes, yes, exactly.
Barry Sternlicht: I would say no, not really, not yet. And I’m really talking about our equity book here. I don’t have the daily financials of the hotels that we lend to. But I – we have a pretty good template of – and I – New York, Brooklyn, it’s actually shocking how good the occupancies are. Brooklyn is running 85%. New York is probably 80%. West Hollywood, late 70, these numbers have been picking up. They are not going in other direction. So, you would expect some – actually in Europe, you are seeing the opposite. You are seeing hotels cancellations people are worried about the variant and it’s interesting because Europe is now more . I think some of the AstraZeneca may not affect the Pfizer vaccines they are definitely in Europe  as they were in July.
Don Fandetti: Got it. And then I guess, I know in the past on the call, it sounds like valuations are very high because of liquidity. So I wonder if some newer areas like mortgage origination that I think you’ve talked about in the past, even become more interesting, particularly given where valuations have gone in that business, are you still looking at those types of acquisitions or are they going to maybe not be available?
Jeff DiModica: By mortgage originations, I guess we do that in all of our businesses. Can you be more specific? Are you talking about agency mortgage lending?
Don Fandetti: Sure. Yes, exactly, Jeff. Residential mortgage origination, I know in the past, you’ve expressed some interest in that business just given the returns are pretty high?
Jeff DiModica: Yes. Listen, we do originate mortgage loans on the residential side already, mostly in the non-QM space. When you talk about agency, I think you might be talking about agency multifamily, which is a business that a number of our peers are in. That’s something that we still would love to be in. We think it’s an area of expertise for our firm. There is only low-20s licenses from Fannie and from Freddie. They have been mostly very well used. And we will continue to look at opportunities to get involved in that space. I think if we had one thing, and we could pull a magic lever and create a license for ourselves, we would love to be involved in that business. And I think it’s a great hedge and a great offset for other things in our portfolio and the servicing is obviously going to be worth a decent amount of rates of our back up. So yes, that’s a business we continue to look at. We just have to find the right way at the right cost to our shareholders to be involved in.
Operator: Thank you. Our next question comes from the line of Steven Laws with Raymond James. Please proceed with your question.
Steven Laws: Hi, good morning. Jeff, you mentioned the seven cylinders a few minutes ago, and I realized you mentioned there is some maybe a cap on how big you want the loan portfolio to get. But when you think about the next dollar out the door, which of those cylinders is currently providing the best returns? And maybe as we look out 12 months or 18 months, which of those cylinders do you see growing the most as a mix of the business?
Jeff DiModica: Barry, do you want to start? Do you want me to? Why don’t I give it a start. Again, last year...
Barry Sternlicht: Go ahead. I will follow up.
Jeff DiModica: Yes. I would say last year, I think on multiple calls, Barry and I both said that the residential business, we are buying loans at discounts and ultimately securitizing them to a very strong securitization bid, looked super attractive. The energy infrastructure business where we have done our first CLO now, and that’s a key component for us to continue to grow that business. The levered yields there are mid-teens to us, and we think that’s a super attractive business. There aren’t a lot of people writing loans at slightly higher spreads than the banks and below the private equity guys who don’t have our ability to finance the same way. So, we think we have a sweet spot there. I will tell you that in the last couple of quarters, there has been nothing better than our Commercial Lending business. Internationally, we are seeing tremendous opportunities. I mentioned in the call, we will have a record year by the fall on the loan origination side transitionally. So, I think that’s been a great business. But the conduit business, obviously, with spreads grinding tighter, we tend to make more money and we are the #1 originator of – non-bank originator of CMBS now. We have been that since COVID started as we stayed in that business where other people pulled away. We would love to do more there, but our business model isn’t really set up to grow dramatically beyond a couple of billion dollars a year. We tend to do smaller loans, high touch that we can be a little bit more nimble and profitable on revenue and leave the bigger loans for market share reasons to the banks who want to have that market share. So, I think those are businesses that we are leaning on. But today, it feels to me like the CRE lending business, our core business, is a fantastic opportunity to keep putting money out. We still like resi. We would love to do more. On the energy side, there has obviously been less deals as you have seen coming out of the capacity auctions and other. There is less need, and we will probably see some decommissioning there. But we think there are some great opportunities in midstream. In general, I would call the CRE lending business, the best opportunity over the last six months and probably the next three months. Barry?
Barry Sternlicht: The only thing I would add, obviously, our servicer is the highest ROE there is. And looking at ways to make more money and fees and what we do is an interesting thing for us to be focused on because that is unique to us in the whole competitive set. And as – are there other asset classes that have to be REIT compliant, we still have – as the largest mortgage REIT, we have a large – that bucket, but we still get taxed in that bucket. So, the referrals have to be higher in order to use that – the bucket for non-readable lending. But there is stuff we are looking at. So, stay tuned. We will – we are uncovering a lot of rock. We have completed a 3-year plan, and now we are going to polish it up and then hopefully execute it.
Steven Laws: Great. And one follow-up on the Europe opportunities have been mentioned, Barry and Jeff both kind of throughout the call, can you talk about what type – where in the capital stack and maybe what property type and regions you expect to get activity? And has the COVID, or Delta variant, or have any restrictions in Europe made certain countries less attractive than maybe would have been attractive before COVID?
Barry Sternlicht: I will take it, Jeff, and then you can add if you want. I mean, our – most of our lending business has been in Ireland and the UK  Portugal. Banks are pretty aggressive, very low loan to value. So, there is always an interesting position for us. If somebody who wants to take more debt, we will look at any asset class. I mean, we have done that on the equity side. So, we have invested in the equity side of data center in London. So, we love the data center business as a lender, life sciences, all of the – what you have heard from other companies, what people are lending on. I just think we have to be – we have to watch out for supply. It isn’t really – the good news about the cycle for real estate and for wholesale lenders is construction costs were galloping forward across the globe. And so your – our loan to value that if we actually looked at replacement costs, it’s probably dropped 5%, 10%, because I just can’t replace these buildings anymore for what these people bought them for what our loan exposure is. So, it’s – as you know, the rents have to rise there adequately justify sort on less people are willing to accept 3% yield on cost for construction deals. So far, the market hasn’t gotten that bad, but it’s dangerous when rents are rising. But developers do is trend the rents, and they basically say, well, I will get that rent. I think for 3 years when I complete my project rent will be 24% higher and get the other developers the same thing. And then, of course, it doesn’t happen because everybody has the same model and then you wind up with lowering costs. So, the good news is rates continue to stay low and it will stay low for reasons that I think for those of us who went to economics class, it’s really the sheer weight of $12 trillion, $13 trillion, $16 trillion of money just sitting on rates globally, looking for yield. And it’s just there is so much money out there as everyone looking for anything that has a yield in it. And it’s obviously an interesting market. You should be careful, but I like relative to other asset classes, even the BDCs, with their lending against companies at multiples that are historically quite high. So, we will see how this all plays out, but we will continue what we are doing.
Jeff DiModica: Yes. I don’t have a lot to add to that, Barry. You nailed the spots. I would say, multi-office, industrial, starting to look at data centers in Europe, certainly less competition there. You don’t have debt funds that can write loans with two guys in a Bloomberg and a broker relationship voyeuring into the European market. So, certainly having less competition there and larger deals by nature is helpful for us as well.
Operator: Thank you. Our next question comes from the line of Jade Rahmani with KBW. Please proceed with your question.
Ryan Tomasello: Good morning. This is Ryan Tomasello on for Jade. Thanks for taking the questions. On the M&A front, I was wondering if you believe there are any acquisition opportunities that you potentially explore that could be beneficial to the company’s cost of capital and goal of reaching an investment-grade rating at some point?
Jeff DiModica: Yes. Barry, you want me to start?
Barry Sternlicht: I will start, then you can pick up. My feeling is that we love to get investment grade. I think our primary goal is to be bigger. And so I think the rating agencies look at us and say what can we – what is the coverage for our debt, how diversified is our cash flow stream, how insulated is it from economic cycles. And I think just your scale helps you there. And we are growing our balance sheet, which is great. And we have almost $3 billion of unencumbered assets, which is great. There are 
Jeff DiModica: I think we may have lost Barry, but why don’t I take up for a second as he started to talk about rating agencies. I would say that we built a purposely unique company. Unfortunately, the company doesn’t fit into a box. It’s much easier when the company fits into a box and you are going into a rating agencies model. As I look at the rating agency models, one of them doesn’t add back depreciation on our portfolio. So, as we fully depreciated, it would assume that the property is worth zero. They do the exact opposite on property REITs. They do add it back. And for some reason, even though we are a hybrid between a property REIT and a mortgage REIT, they don’t add it back for us. So, in some calculations that $420 million of equity that is lost on our balance sheet makes us look more levered than we actually are than any property REIT would be. On the CMBS side, they don’t count below investment-grade CMBS in our equity calculation, again, making us look significantly more levered. I argued on 10-year newly originated, newly appraised fixed rate loans with 3x debt service coverage, you are effectively telling me, I am not going to get the August payment of interest by giving me no credit. You could give us zero credit at the end if you assume every CMBS loan is going to be bad in 10 years. But by that point, I have recaptured my full investment, which is a discount investment. And so to give us zero credit on our equity, makes no sense. We have billions of dollars today in CLO liabilities. And we – despite them being non-recourse with no margin calls, they are treated the same way as repo in the rating agency model. So, we have a lot of work to do to get to investment grade. We have a lot of explaining to do with the rating agencies why they need to look at us outside of a box and take metrics that come from a bunch of places. We are happy-ish with Fitch coming in at BB+. The bond market certainly trades us as a closer to investment-grade company than others who are rated similarly to us. But we think when the rating agencies come around to sort of understanding our business better, that we have a much better shot at getting really close to investment grade, which would be wonderful for our financing costs and would, as Barry said, allow us to really help growing the business. You would also ask about cylinders, and I believe about M&A stuff. And Barry took on a lot of that, but I would say coming out of our 3-year plan, we probably have eight or ten related businesses to what we do. I could go through some of them, but sort of add-ons to our existing businesses and then a few potentially slightly new businesses. But our task from our Board over the next 12 months to 18 months is to show some progress on those. So hopefully, we will be able to show you all some progress on those as well. There are reasons that we don’t do – we look at every business. I mean, we put a list together and I think we have looked at 30 or 40 different companies and looked at them multiple times. And there are reasons that some of them won’t sell. And there are reasons that we are not going to put our shareholders in them because we don’t like some characteristics of the business. So, it depends on how the markets sort of open up to us and at what price and at what premium we are willing to pay to get into some of these new businesses. But I can assure you that we have a whole team of people looking at them all anything that we could add that would be accretive and smart and a good credit play every day.
Ryan Tomasello: Great. Thanks for that. And I appreciate your comments around the CMBS business with the expected pricing of your next deal like slated for September. But can you talk more broadly about your outlook for the back half of the year in terms of conduit volumes. I guess, you expect volumes to be consistent or grow in the back half versus the first half of the year?
Jeff DiModica: Markets are cyclical. People see other people making money and they all jump in and they all jump in at the same time and people like us who stayed in every quarter in road loans and became the largest non-bank originator. Other people will draft off that success, and we will have more competition going forward. This year, for the first time, the SASB market will be significantly bigger than the CMBS conduit market, which is really interesting. We don’t tend to play much on the SASB side, although we just did a SASB securitization of some select service hotels in our portfolio that was priced a month or so ago and came off very well. But SASB is actually the biggest. CLOs are significantly bigger today, I think, than the conduit market as well. So, if we want to do more CLOs, there is sort of two ways to do it, right. We can continue to do what we have always done, which is write loans for our balance sheet that fit our cost of capital with our available sources of financing, A-Notes that are perfect match, more expensive, but more safe, no margin calls, no recourse, no credit marks and no cross on the assets. We will continue to sell A-Notes. We have sold more A-Notes than all of our peers combined. We will continue to use the repo market, which is the bank warehouse financing market, which is grinding in dramatically and giving us the reason – one of the reasons I like this part of our business, probably better than others is the banks are all flushed with cash. As everybody is now trying to do CLOs, the banks have less assets on their warehouse line businesses, and they want to grow them. So, they are giving us better cost of funds and better advance rates there. So, we will continue to use those. And we will write loans hoping that, ultimately, we can look at our portfolio and do another CLO, but we won’t do what so many people in our space do, which is write loans to a CLO exit. The CLO exited a higher advance rate and a lower cost of funds. But the CLO market goes away for 6 months out of every 18 months. It hasn’t gone away in the last little bit. So, now everybody is writing loans to there. If you get hung with those loans and you don’t get the CLO exit, your expected 12 IRR might be an 8 or a 9, and you are exposing yourself to credit marks and recourse and things like that, but you don’t really want to do. So, I think of the 21 new businesses that we showed to our Board, one got an x through it and that was let’s originate loans to a CLO exit. It’s just too risky. It’s not a smart business plan. It’s a trade. And if we have proven anything over 12 years, we are in this for the long run and not for trade. So, we will do a CLO when it makes sense with things on our balance sheet, and we can finance them better. And unless we those assets, we are never going to write loans to a CLO exit, assuming that the capital markets will be there. That’s just the trade.
Ryan Tomasello: Thanks for taking the questions.
Operator:  Our next question comes from the line of Doug Harter with Credit Suisse. Please proceed with your question.
Doug Harter: On the one hand, you said there is a lot of kind of capital chasing real estate and just to kind of some of what  CRE lending is kind of the most attractive opportunity  you could kind of square those two comments?
Jeff DiModica: So Doug, you were cutting out. You might not be aware. And maybe it was just for me. I don’t know if he was cutting out for others. But what I think I heard and a couple of pieces of it were that there is a lot of capital chasing CRE. The capital markets are very liquid. In that, we are also saying that the CRE lending is super attractive and that maybe you are making this opposition that maybe those don’t go together. Is that fair?
Operator: I am sorry, Mr. Harter has disconnected. There are no other questions at this time. I will turn the floor back to management for any final comments.
Jeff DiModica: Well, terrific. Thank you, everybody, for your time. We are looking forward to talking to you again in three months. And that’s it. Thank you very much.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.